Christel Bories: Good morning, everyone, and welcome to Eramet's annual results presentation. I know most of you from my past as Chair and CEO of Eramet in the last 8 years. And as you know, I have resumed the role of CEO on an interim basis at the request of the Board. It was not part of my personal plan. One year ago, I decided to not to seek a third mandate for personal reason, and I have not changed my mind. However, when the Board asked me to step in, I felt the responsibility towards the group, towards its stakeholders and above all, towards its teams. I know this company extremely well. I know its strengths, and I know what it takes to navigate a difficult cycle. And I want to see the group succeed. So, this is a temporary mission. A search for the new CEO is underway. But I will stay as long as needed to ensure continuity and stability for the group, and I will hand over once a successor will be appointed. In the meantime, I'm fully engaged and fully accountable. And as you will see today, I have a strong team with me. So, operational and financial continuity is fully ensured at Eramet. So, the agenda of today is the following. I will do an introduction. Then we will go through our 2025 financial results, and it will be presented by our acting CFO, Simon Henochsberg has been in Eramet for a few years now. He is our Head of Strategy. He is coming with a strong financial background and experience in banking. And he is today in charge of Treasury, Financing and Investor Relations. Then, we will focus on our operating and financial performance by activity and on the group performance improvement plan. And this will be presented by Charles Nouel. Charles Nouel is our COO. He has been in Eramet for 20 years. He has been in the COO position for 3 years now. And Charles is also in charge of the implementation of the ReSolution program. And then, we will move to our funding plan. And you have seen in the communique that we have announced today a comprehensive funding plan. And so, Simon will present it, and I will come back for the conclusion. So, let's start with introduction. Clearly, 2025 was a very difficult year that stretched our balance sheet. We faced strong external headwinds with cyclical lows almost across most of our commodities, combined with a weakening dollar, which is a rare and particularly adverse combination in our industry. We also encountered permit restriction in Indonesia and operational challenges in our manganese logistics in Gabon. We emerged from this period with a stretched balance sheet, and this required decisive actions that we have decided, with the full support of our Board, to restore a sustainable capital structure and provide solid foundations for the future. We will obviously come back to that in a minute in the presentation. At the same time, we have also achieved major milestones in our strategic road map. And we are particularly proud of the ramp-up of our Centenario plant in Argentina, which progressed successfully and which is really a great achievement and position us very favorably for the future. And in Grande Cote in Senegal, we are also very proud to have achieved the IRMA 50 certification. As you know, IRMA is a very demanding international standard in terms of sustainable mining. And we are one of the few mines in the world being able to achieve this level of certification. So, despite the big difficulties of the cycle, we progressed strategically on our road map, and I think it is a very important point. So, let's start now with safety. As you know, safety remains an unconditional priority at Eramet. Our incident rate stands at 0.8, which is a good standard in the world, and it is below our target of 1. As you remember, 9 years ago, when I joined the group, the safety performance was at a totally different level, and I think that the progress that we achieved over the past years is something that we can collectively be proud of. However, the situation at Weda Bay Nickel is deeply concerning. We recorded 3 fatal contractor accidents in 2025, and we had an additional one in January also with contractors. This is totally unacceptable, and corrective measures have been implemented. The contractor management has been strengthened. We have taken measures on road safety and operational controls have been reinforced. And we are also taking measure on lightning prevention and protection measures because we have had issues with lightning strikes. Safety is a fundamental priority of Eramet, and this is the first pillar of our ReSolution plan. And our target is clear. It's 0 injuries and 0 high potential incidents. So, let me now come to the broader macroeconomic environment. 2025 was marked by historically low commodity prices and unfavorable FX evolution. The macroeconomic environment and particularly the slowdown in China has weighted heavily on industrial demand. For our basket of commodities, and this is what you see on the right side, the pricing environment was comparable to 2015, which is the lowest level in the decade. And that has been compounded with a strong adverse dollar effect, which, as I said, is a particularly rare combination in the industry. So, these sharp declines had a significant negative impact on our results, which amounted to nearly EUR 300 million in 2025. These external headwinds, combined with the permit restriction in Indonesia led to a very deteriorated adjusted EBITDA, which reached EUR 372 million in 2025. It is down 54% year-over-year. You remember that we were over EUR 800 million in 2024. The intrinsic performance is also below expectation, notably in manganese logistics and because of the cost of the lithium ramp-up phase. So, you see that basically out of the -- I mean, the huge decrease of the adjusted EBITDA, 80%, roughly speaking, was coming from the external factors and 20% from disappointing operating performance within Eramet. As a result of this much lower EBITDA and tails off CapEx, notably in lithium and Gabon, the adjusted free cash flow was negative at EUR 481 million. And the net debt reached EUR 1.9 billion, and the adjusted leverage stood at 5.5x. The gearing reached 125% under the covenant definition, but we obtained a waiver for the December '25 covenant test date. So given the context, no dividend will be proposed for this year, and you will see also for next year. So, clearly, the balance sheet is stretched, but liquidity has been preserved and as we will see, remains solid at the end of December and access to financing remains secure. So, in response to this difficult situation, we have implemented a comprehensive funding and performance plan approved by the Board. It relies on 3 pillars that you can see here on the slide. The first one is, of course, the performance improvement and cash generation at the level of Eramet, driven by the ReSolution program. It covers more than 50 initiatives already underway, and Charles will detail these initiatives later on. The second pillar is a strategic asset review, exploring partial monetization options with the objectives of generating cash in 2026. The third pillar is equity strengthening, with a planned capital increase of around EUR 500 million in 2026, the [ principle ] of which has been agreed with our reference shareholders. The priority of this plan is clearly deleveraging, in order to secure a stronger and more sustainable future for the group. Simon will give you more details later on, but I think it's a very important step going forward to reinforce the balance sheet of the group. With the strengthened balance sheet, we will be in a position in the future to fully leverage the quality of our asset base. Just 2 examples here. We operate the largest and one of the highest-grade manganese ore mine in the world, as you know. The debottlenecking of the logistics and the rail infrastructure in Gabon is starting to deliver results. And so, this is positioning us very well for the future. In lithium, Centenario, as I said, is successfully ramping up. We are several years ahead of most competitors in direct lithium extraction at industrial scale. The asset is first quartile, scalable and long life in a structurally attractive industry. We think that our first quartile low-cost asset base will secure profitability and support cash generation as the commodity prices emerge from the low point of the cycle. Let me now zoom 1 minute on this first-class lithium asset. The plant, as you know, has started beginning of 2025; in fact, very end of 2024. Our plant has reached close to 75% of nameplate capacity in December last year after overcoming the problem caused by a faulty equipment, the fourth evaporator that was delivered by one of our supplier in the first half that has delayed the start of the plant for about 4 months. But the ramp-up trajectory in the second half was very good, was steep, benchmark in the industry and in line with our revised plan. Our proprietary Direct Lithium Extraction technology is now operating at industrial scale, and we have demonstrated that it's working. In 2026, as you have seen in our guidance, we target a production between 17,000 and 20,000 tonnes of lithium carbonate, reaching close to 100% capacity by year-end. And at the same time, we are focusing on cash cost optimization, particularly through improved reagent consumption and process efficiency. Longer term, the salar, as you know has a great potential of exceeding 75,000 tonnes of lithium carbonate per year with options for low capital intensity expansion short term. But we will do this expansion in a very disciplined manner and involving partnership. And just to finish this introduction, I would like to talk about CSR. As you know, I put CSR as a central pillar of our strategy 8 years ago. CSR remains central to our model and our act for positive mining road map continues to structure all our actions and we progress on it as planned. Achieving the IRMA 50 at Grande Cote in Senegal is a significant milestone. It positions us among the most advanced mining group globally in terms of responsible mining and transparency. And we continue to see top-tier recognition of our commitments from different CSR rating agencies. And we put here the example of our CDP rates on water that moved from B to A-, which is a very, very good level in our industry and the recognition of this continuous improvement journey towards excellence in CSR. So now, I will hand over to Simon for the financial results.
Unknown Executive: Good morning to everyone. Thank you, Christel, for the introduction. I will start by commenting our 2025 financial results, and I will comment later on the funding plan that was announced yesterday. So, regarding our financial results. First, as Christel mentioned, we need to come back to the market situation that we experienced in 2025. Across all of our commodities, we had lower prices combined with a U.S. weakening, which is quite rare for us, which had a double impact on our financials. Regarding prices, the impact on manganese ore was minus 18% in 2025 compared to 2024. This is due to excess supply coming from South Africa, and it's also due to an Australian high-grade ore producer that came back on the market during the year. Regarding demand, steel production remains stable. On nickel, we also experienced a downgrade -- a decrease in prices by 10%. We managed to keep the prices of nickel ore stable in Indonesia, thanks to the premium we were able to get because of the permitting tension that we saw during 2025. But overall, on a global scale, we were in an oversupply situation, both on Class I and Class II nickel. In mineral sands, we've seen a structurally oversupplied situation emerging. This has been putting pressure on prices, and I will come back to that. This explains the impairment that we had to pass on our asset in Senegal. On lithium, the prices were low in 2025. We've seen the prices recover recently in the past few weeks. We had indeed a temporarily oversupplied market in '25 despite the very sustained demand that comes from both EV and ESS. But again, we are starting to see a rebalancing on that market in recent weeks. Coming to our financials. Our turnover for the year decreased to EUR 3.2 billion. So this is 7% below what we had in 2024. So this is mainly due to price impacts, and we did have some extra volumes with the start of our production of lithium in Argentina. Regarding adjusted EBITDA, as you know, we adjust our EBITDA with the share of Weda Bay Nickel. We also retreat the losses of SLN as this operation is fully funded by the French state and does not impact economically Eramet. So, on adjusted EBITDA, it decreased from EUR 814 million last year in 2024 to EUR 372 million in 2025. This is a decrease of minus 54%. This decrease in EBITDA translated into a lower net income for the year at minus EUR 370 million. This is also due to the impairment that we had to pass on our assets in Senegal, an impairment of EUR 171 million. This is the reflection of this persistent oversupply that we are seeing in this market and the downward pressure on prices. The adjusted free cash flow for the year landed at minus EUR 481 million, so lower than what we had in 2024. The impact on free cash flow is less important than what we see on EBITDA, first of all, because we were able to reduce CapEx in '25 and because we implemented a cash boost plan during the year. Due to this cash consumption, we saw our net debt increase from EUR 1.3 billion to EUR 1.9 billion. Our shareholder equity decreased as well. I'd like to mention on shareholder equity that there is the impact of the net income, but there is also the impact of the FX rate, which is very adverse as we have a lot of assets that are denominated in dollars. As a result, our credit ratios landed at 5.5% for the net leverage and gearing at 125%. As Christel mentioned, we asked for a waiver from our banks for the test date of December 2025 that was granted unanimously. Regarding the usual EBITDA bridge, I think the picture is quite clear. The external impact on our EBITDA was substantial in 2025 by minus EUR 359 million. This is 80% of the decrease in EBITDA came from external factors. In those factors, the 3 main drivers, again, are quite clear on this graph. The price impact was nearly EUR 200 million. The FX impact was nearly EUR 100 million. Taken together, you have nearly EUR 300 million that are linked to price and FX. And we had the permitting situation in Weda Bay with a new permitting constraint during the year that forced us to revise our mining plan with a higher cash cost, lower grades and a product mixed with more limonite on which we have lower margins. We also had CO2 quota sales on manganese alloys that brought EUR 46 million. And on the intrinsic, we had some positive impact on grades mainly in Senegal, and we had in 2025, the cost linked to the ramp-up of lithium. Regarding CapEx, we were able to reduce CapEx in '25 compared to '24, in line with the guidance we had provided to the market. Sustaining CapEx remained constant year-over-year. But with now the new addition of sustaining CapEx from Centenario as now we have this plant is in operation, which led to a sustaining CapEx of EUR 26 million. On non-sustaining CapEx, we kept investing in Comilog. This is to debottleneck the loading in Moanda and the ship loading at the port. We kept investing in Setrag to revamp the railway to allow for organic growth. And we kept investing in Senegal, where we are debottlenecking our plants and where we are also investing into a decarbonization project. We had some remaining greenfield CapEx linked to our plant in Argentina with the end of the construction. This amounted to EUR 96 million for the year, leading to a total CapEx of EUR 412 million. Regarding net debt, this is the result of what we described. The net debt increased from EUR 1.4 billion to EUR 2 billion. This is the result of a low EBITDA, still high CapEx as we were still investing. Taxes paid, with EUR 137 million of taxes paid, of which EUR 80 million in Gabon, which includes a settlement of a tax audit which is a one-off payment. We distributed some dividends, including EUR 56 million to minorities, which is mainly in Gabon. Regarding our liquidity position, our group financial liquidity stands at EUR 1.5 billion at year-end 2025. This includes our RCF. In January this year, this RCF was fully drawn for precautionary reasons. It provides the group with ample liquidity, especially as we have very manageable debt maturities in '26 and '28. The decision to draw this RCF in full was made by the previous management. We are currently evaluating the adequate level of cash we want to maintain going forward. Regarding our debt maturity profile, the bulk of our maturities are in '28 and '29 with the 2 bonds that are due that year. With that, we have an average maturity of our debt that stands at 2.8 years. With that, I will hand over to Charles to describe the operations.
Charles Nouel: Thank you, Simon. Hello, everyone. So, 2025 operating performance and financials. In terms of operating performance, we've had mixed results. Disappointing in manganese ore. We had a low base on the -- in 2024, and we didn't manage to do more. I'll come back to that. Basically, it's around the logistics challenge being on the railway, but also on the terminal operations. In terms of manganese alloys, we were constrained by the market, by the ability to sell our products. We have a production capacity that is a lot higher than what you see there and what we actually produced. On the positive side, 42 million at Weda Bay when we received in July the additional RKAB when we managed, in the last part of the year, to produce so much is a very positive operational performance. Again, I'll come back to that because it has some negative impacts as well. Mineral sands, it's a record production. Mineral sands used to be around 600,000 or 700,000 tonnes. We gradually increased to 800,000 and now nearly 1 million tonnes. And the lithium started with difficulties with the Forced Evaporator. But in the second part of the year, the ramp-up that we achieved going to 75% in December and it's continuing currently to increase is extremely positive and is a real success. Now, commenting the manganese performance, the main driver to explain the difference between '24 and '25 is around the price and the exchange rate. On the -- that's for the manganese ore. On manganese alloys, it's about the prices, yet we have been able to compensate that through CO2 quota sales. Regarding the free cash flow, we have, of course, the EBITDA. But on top of that, we continue to invest in Gabon on the train line, but also on the infrastructure of the mine. This is coming to an end, that part. And we paid heavy taxes, as Simon has mentioned. On the positive side, it's the free cash flow of the manganese alloys that is much higher than the previous years. And again, this business delivered some significant free cash flow. In Weda Bay, the main difference is about the grade and the quality of the material that we sold compared to the previous years. This was heavily impacted by the permitting. Permitting is about the famous RKAB permit, which is the permit to produce and to sell, but also the forestry permit. And both these permits were delivered extremely late, and we had to redo our mine plan continuously through the year. And in the end, we had a very unoptimized mining plan. This is why the grade went down because we had to sell some low-grade saprolite. We had to sell a lot of limonite as well because the second part of the RKAB that we received was exclusively limonite. And that had a very big impact on our operation and our sales. The second part also is that, when you have a suboptimal mining plan, you have increased haulage distances as well as increased strip ratio, and that impacts our productivity. Regarding mineral sands, it's a record production, as I explained, yet the prices dropped to very low levels, and that impacted our EBITDA. And on the free cash flow side, we still have CapEx, CapEx of expansion, CapEx of decarbonation. And those will finish in Q1 with start-up in early Q2 this year. So, expect some small amount of -- smaller amount of CapEx last year and finishing end of Q1, beginning of Q2. Lithium, we started. The first semester issues with the Forced Evaporator impacted our cost. Our cost of ramp-up were higher than anticipated. We also had the end of the CapEx for the construction and also some VAT losses due to foreign exchange. So, that's it for our operations. The teams have fought hard through the year to compensate all the difficulties that we had. I'm actually quite proud of the teams, especially in lithium, and I'll come back to it also on the railway. GCO in Senegal delivered excellent production. So, although it's mixed results, we are seeing some real improvements in terms of operational performance. And this will be -- is what we will build on, on the operational performance plan. We have 3 pillars. The first one was explained by Christel largely. Our goal is to get to 0 injuries and 0 high potential incidents. We are launching some coaching of our first-line managers on site. We are -- we have reviewed all our production system to embed safety deeper into the routines of our personnel. In terms of operational and commercial improvement, we are targeting EUR 130 million to EUR 170 million EBITDA. I'll come back to that. This improvement is the uplift that we must deliver within 2 years. CapEx, as Simon showed you, the amount of CapEx that we've spent in previous years, EUR 496 million in 2024, EUR 412 million in 2025. We are now going to spend between EUR 250 million and EUR 290 million. That's a very significant drop. This drop is due to some growth CapEx that are now finalized, but also a much more disciplined approach regarding sustaining CapEx. Overall, this is a 30% to 40% reduction in the amount of CapEx that we will spend. The operational improvement plan is spanning on all our businesses, manganese ore, manganese alloys, mineral sands, lithium, Weda Bay as well and also commercial. We're looking at volumes and the volume part is the majority part of this EBITDA uplift, but we're also looking at productivity and especially in mature businesses like manganese alloys as well as costs in manganese alloys and mineral sands. We're also, of course, looking at cost in lithium to reduce our specific reagent consumption. That is the #1 driver for our cash cost. Looking into more details regarding manganese ore. As I said, we've had disappointing results in 2025, not managing to produce more than the previous year. But in late 2024, we started a comprehensive plan to work on the basics, on the fundamentals in Gabon. We started early 2025 with a mindset and behavior plan on both operations in Comilog and in Setrag, and we are seeing the improvements. We are seeing, for example, a sharp drop in the number of accidents, showing more discipline, more drive of the managers. The second part that is absolutely key over there is asset management. We've had issues in all parts of our assets in terms of maintenance and reliability. We've launched programs, and we talk usually a lot about the track maintenance, the track renewal. But what we are seeing late Q3, early Q4 is an inflection in some of the leading indicators. We had less rain breaks. We had better reliability of our rolling stock. And last year, we did a record replacement of the track, 84 kilometers for sleepers, 58 kilometers for rail. So that's -- these are the leading indicators that we follow. The lagging indicators are -- have started to improve late Q4 last year and are continuing to improve. This is the kilometers, the running distance of all our trains that is slowly but surely improving. These are all the things that we're working on, the track renewal, the track maintenance, the traffic management, the rolling stock reliability, the reliability also of our terminal operations. This is what we're working on. This is why we are confident because we have this inflection on the leading indicators and this improvement of the lagging indicators, we are confident that we will deliver 6.4 million to 6.8 million tonnes this year. Regarding lithium, we've talked about it several times already. 75% is what we delivered in December. We are continuing to improve. And with this improvement, that should lead to 100% capacity, close to 100% capacity by the end of the year. We are reducing our cash cost mechanically. But on top of that, we are reducing our specific reagent consumption. And the target for our cash cost is now at 5.4 to 5.8 in 2025 terms. Remember that the 5,000 was in 2024 terms. PT Weda Bay Nickel, this is a bit of a complicated slide. Basically, the message is IWIP has 73 RKEF production lines and 12 MHP production lines. The percentage of ore that was delivered by Weda Bay Nickel mine to the IWIP Industrial Park was around 40%. With the current permit, we only have 10%. Remember that last year, we got an improvement in our RKAB, and we will request an increase as soon as possible. Longer term, our AMDAL and feasibility study is still valid. It's still at 60 million tonnes, and this is our target to deliver 60 million tonnes. And now, I will give the floor -- leave the floor back to Simon for the funding plan. Thank you very much.
Unknown Executive: Thank you, Charles. I will now comment the funding plan that we have announced. So, we have built, with the support of our Board, a 3-pillar comprehensive funding plan to strengthen our balance sheet. This plan is based on 3 pillars. The first one is the performance improvement plans that Charles just described. This includes the ReSolution initiatives, and this is already underway. The second pillar is a strategic review of assets. We are targeting a sizable asset monetization in 2026, and various options are being considered. The third pillar is the equity base strengthening. The project is to launch a capital increase of around EUR 500 million in 2026. While we implement this plan, we are adapting our capital allocation policy. The priority is given to deleveraging. We are limiting investments, as you've seen on CapEx for 2026, and we are suspending dividends for the next 2 years. Regarding liquidity, while we implement our plan, we will preserve liquidity and maintain our RCF. We have obtained, in that regard, a waiver from banks in December '25. We will be seeking to obtain another waiver from banks to cover 2026 as we implement our plan. In that regard, we have had very constructive discussion with our banks in the recent weeks and are confident about this process. A bit more detail on the third pillar, the equity base strengthening. This plan was approved by the Board of Directors of Eramet yesterday. Reference shareholders have approved the principle of a capital increase of around EUR 500 million in '26. The appropriate resolutions will be proposed to the May 2026 AGM and reference shareholders are committing to voting these resolutions. Overall, with this funding plan, this will enable Eramet to normalize credit ratios, both the gearing and the net leverage and improve our financial liquidity. Regarding the implementation time line, the first pillar, the performance improvement plan is something that is already underway and is fully embedded in the budget for 2026. The second pillar, asset monetization requires some preparatory work while we evaluate all the options. The targeted execution window is to the back end of the year around Q4. Regarding capital base strengthening, the resolution will be published end of March or beginning of April for an AGM taking place in May. This will enable an execution during the second part of the year. I will now cover the outlook and guidance. In 2026, we are seeing a more favorable environment. We've seen prices increase recently. All the spot prices are much higher in January than where it were in 2025. This is already reflected in the consensus price for the year. We are seeing in manganese ore an increase in price. This is confirmed in the sales we have done in January, and this is also consistent with the low level of inventory of high-grade ore we are seeing in China today. On nickel, we have also seen an increase in prices. This is in part due to the permitting situation in Indonesia, which is creating a supply gap and putting pressure on the ore price. On lithium, the market is rebalancing, and we have continued to see extraordinary growth in both EV and ESS applications that keeps pulling demand and that contributed to an increase in prices. And the spot prices we are seeing today are above the consensus that we show here. Regarding the FX rates, we are using $1.20. This is the consensus, but this is also the rate at which we have conducted the hedging operation in January. We have decided to hedge 2/3 of our exposure on the dollar, and this was conducted end of January. Regarding our guidance for 2026. On manganese ore transported volumes, we are seeing -- expecting an uplift from 6.1 Mt last year to 6.4 Mt to 6.8 Mt. This is not translated into lower cash cost, unfortunately, because the FX rate impacts negatively the cash cost. For nickel ore, the RKAB is on 12 million tonnes, but we will request an upward revision as early as possible. Regarding mineral sands, we are expecting a stable production. This is the reflection of the increased throughput that we have with the investment that we've made, but also lower grades that are expected in 2026. For lithium, we are targeting a ramp-up to the nameplate capacity during the year. This will allow us to increase the volumes to something between 17,000 and 20,000 tonnes of lithium carbonate equivalent. For CapEx, we target a sharp decrease to between EUR 250 million to EUR 290 million. This is mostly sustaining CapEx and -- but we still have in 2026, some debottlenecking CapEx, EUR 70 million in Gabon to debottleneck the logistics and EUR 30 million in Senegal, which is the end of the investments that we have already started. Thank you. I will hand over to Christel for the conclusion.
Christel Bories: Thank you, Simon. Just a quick conclusion before we move to the Q&A. Clearly, 2026 will be a pivotal year. It's all about execution. It's execution in safety, reinforcing the safety standards with a specific focus on Weda Bay; it's execution on the group operational improvement plan that Charles has presented, delivering, I mean, all the initiatives with, as you have understood, a specific focus on the full ramp-up of lithium, which will generate a lot of value and the debottlenecking of the logistic chain in Gabon; it's execution on the funding plan and especially protecting the cash flow, strengthening the balance sheet and so advancing the asset monetization in 2026 and preparing the capital increase. Above all, it's about restoring the financial flexibility of the group and rebuilding the value creation capacity for the next cycle. I'm convinced that we will be successful. We have great assets. We have a very committed team, and I can tell you that I have found back a team that is very committed to deliver for the future. And we have, as you have seen, the full support of our Board. So, I trust that altogether, we will be successful on this plan. So, thank you very much. And now we will move to the Q&A session.
Christel Bories: For this Q&A session, so the team will be here to help me answering your question. So the one who have presented already, so Simon Henochsberg and Charles Nouel, but also Maria Lodkina. And Maria is the Head of the Controlling department. She is co-managing today the finance department covering controlling and accounting. Maria, if you can join and team is here for -- so Sandrine, please, on the question.
Sandrine Nourry-Dabi: Okay. So, we will start with the questions from the audience, and then we will take the questions from the webcast. So, okay, first question?
Christel Bories: So, I can't see you with the spot, but...
Sandrine Nourry-Dabi: If you could introduce yourself as well, so [ Auguste ]?
Maxime Kogge: It's Maxime Kogge from ODDO BHF. So, I have a first question on the capital increase. So, am I right to assume that the full capital increase will be at the Eramet level? Or could it also involve some disposals of minority shares in the subsidiaries? I'm thinking about lithium, for example. And related to that, if I do the math, so you have 5.5x of net leverage right now with EUR 500 million of capital increase that leads us to, on my calculation, around 2.5x net leverage by the end of next year. And we are still quite far away from the 1x net leverage long-term target. So, can you give us a sense here of when you could achieve that long-term target?
Christel Bories: So, I will answer the first question and let Simon answer the second one. Just on the capital increase that we have shown in the third pillar of the funding plan is at the group level. So, the EUR 500 million is at a group level. And as we have said, there will be resolutions proposed to the general assembly and our reference shareholders have committed to vote those resolutions to be able to deliver this capital increase by the end of the year. On -- it does not mean that we could not sell a minority shareholding in our subsidiaries, and it is part exactly of what we call the asset monetization, I mean, process that we are -- we have launched, in fact, because we have already selected some -- have selected some assets, have some ideas, started some discussions so that we could be able to deliver this also in 2026. So -- but this will be in the second pillar, which is part of the -- what we call the asset monetization in 2026.
Maxime Kogge: And regarding the pathway to the 1x of net leverage, that is your long-term target?
Unknown Executive: On that question, so, indeed, our capital allocation policy for the coming 2 years has been adapted to -- as we face the situation, we've have a net leverage of 5.5x at the end of 2025. The way we have sized our funding plan is, first, this improvement program, which is designed to generate cash and increase the EBITDA level, which is a big component of a decrease in the net leverage. The second part, the asset monetization, which is not necessarily the biggest lever to decrease leverage and the third pillar, which is the equity increase. Coming back to 1x in 1 year is not feasible in our view, depending, again, on prices, EBITDA may increase to a level that allows to go back straight to that level. It would be interesting to -- if you remember what happened in 2015 and 2017, where Eramet leverage went up very fast. It also came back very fast in the year afterwards as prices were increasing. But in any case, to answer your question, the capital policy allocation has been adapted for the next 2 years to face this special situation and the target of 1x can only be resumed after we pass that period.
Maxime Kogge: Okay. I have a second question and last one, I have to leave the floor to my colleagues. It's about lithium. So, lithium prices are currently quite high and remain to stay so for long, given the strong tailwinds. You have an operation that is running now quite smoothly. So, now it could be the perfect time to launch the Phase 2 of this project. It could have been perhaps the case already in '23, '24 when you had plans already to launch it because you would have benefited now from these very high prices. So how should we think about this expansion there? You have huge potential, but it seems that you're very much constrained. So, could the capital increase perhaps include a path to fund this project? Or is it something that will come a lot later?
Christel Bories: It's a very good question. As I said in the presentation earlier, we have huge potential. And the first one is a very low capital intensity expansion of the existing plant. We have some debottlenecking potential within the existing plant, which can increase, quite significantly, the production with a relatively low CapEx intensity. So, this will be the first step before we build a second plant which is also part of the long-term growth plan for lithium in Argentina. On this first one, as I said, we will be very disciplined. And part -- it can be done with partnership, bringing a partner that could allow us, without stretching further our balance sheet and spending too much CapEx to accelerate this expansion phase, bringing a partner in this assets, in the joint venture. It's part of the things that we are considering in order to leverage the growth potential of these assets at the right time in the market.
Auguste Deryckx Lienart: Auguste Deryckx, Kepler Cheuvreux. I have 2 questions. The first one is on the capital increase because reference shareholders supports this operation. Should we assume that they will participate at least to the extent of their stake in Eramet? And the second question is on divestments. Is it fair to say that the easiest asset to sell are a minority stake in the lithium mine and mineral sands?
Christel Bories: Again, on the second question, I will not comment on the assets. We don't want to sell at discounted value. That's why we are considering several options that are all in line with our strategy. We don't want to sell things that would, I mean, endanger our long-term strategy in critical raw materials, and we don't want to sell at a low value. So, we are taking all this in consideration. But we think that with all these constraints, we still have options and will not comment further as you can -- and you can understand why at this stage on which asset is targeted. On your first question, I cannot comment for my shareholders. The only thing I can tell you is that both shareholders have approved the funding plan in the Board, and it was -- this funding plan was approved unanimously at the Board level that they have committed, as we said, to vote the resolution in the AGM that will allow the Board to execute this capital increase, so -- which means that they are supportive of this concept and project of capital increase. Now the modalities of the capital increase and who is participating to what will be detailed later on, and I cannot comment further at this stage.
Unknown Analyst: [indiscernible] It's a pleasure to see you back, but that was not the plan. Can you comment on what happened? It was really -- it came as a surprise to us all. So that's my first question. A couple of years back, that's my second question. You mentioned that of all the things that would hamper your operations would be a naval blockade. Does the present level of geopolitical tension seems to you as moving towards this kind of risk for the group? Or do you think we're really cool for the coming, at least for 2026 as far as you can see?
Christel Bories: Just so, I think we have already commented, I mean, through our communique and in the press, I mean, the reason for the dismissal of the previous CEO. It was really a question of divergence in the way decisions were made, the level of transparency, the way of working, especially with the Board. So -- but also with the teams. So, I think it's nothing to do with financial issues, nothing -- no fraud, no ethical issues. It's really the way decisions were made, lack of transparency, lack of alignment, divergence in the way of functioning. So, at this level, we need -- and it's also the culture and the values at Eramet, we need collaboration. We need consultation. We need transparency. And when those things are happening at this level, we have to make decisions. So, I'm back, as I said at the beginning, for an interim period. But in that period that will take the time it will take. I'm fully committed and accountable to lead the group. And of course, I will step down as soon as we'll have found a new CEO. The plan remains the same mid-term. On your second question, I'm not sure I got exactly what you meant, but I think that it's -- again, in terms of strategy, and maybe you can precise the question, but on strategy for Eramet, we continue to have a good momentum, and it's also part of the answer to other questions. Eramet is really a strategic company exposed to critical metals necessary to secure the Western value chain and enable the energy transition. And we think that with all what has happened in the world in the past months, we are even more critical for Europe and for the Western world in terms of producers of critical raw materials.
Unknown Analyst: Well, very specifically, what happens in the Middle East with this buildup between Iran on one side, the U.S. on the other side and their respective allies, you think what everybody is saying, it's going to be okay. But if it's not okay and if these people start fighting, what happens to your relationship with China and whatever you have to deliver there? That's my point, especially from Indonesia.
Christel Bories: Yes. And again, as you know, in the world of today, it's difficult, I mean, to navigate. We have to be agile. We have to be flexible. Today, that's true that we do quite a lot of our sales in China because China is a big consumer of raw materials and metals in the world. But we have developed, as a contingency, I would say, in the last months and years, we have developed ourselves elsewhere, especially we have grown a lot in India, for example. So, today, we need to be agile. We need to continue to observe what's going on in the world. But -- and that's why I said that I think we are well positioned in countries today that are remaining quite independent from those blocks. And I think that in Indonesia, that's true that what we see in Indonesia and what we see in many countries in the world today is the increase of nationalism and more and more political decisions, and we have to deal with those change in our countries. So, I cannot comment more than that today.
Jean-Luc Romain: Jean-Luc Romain, CIC. I have a question regarding your RKAB, which was allowed by the Indonesian government, which is much lower than last year and probably much lower than you expected. Given the ability and what you mentioned in your press release to ask for higher RKAB, what kind of level do you think you could achieve? That's a difficult question. And -- well, should we expect a big drop in volumes this year compared to last year?
Christel Bories: It's really very difficult to answer this question. Obviously, as we are -- we have been surprised by this level of cut. You may remember that part of the national -- I mean, strategy of Indonesia was to rationalize the level of allocation of RKAB in order to decrease the potential oversupply of nickel on the market and have the price increase in the coming months and years. What they have announced is that they would like to cut the RKAB overall by, let's say, 20%, they say, 20% to 30%. We have been cut by 70%. So, I'm not saying that we will come back to 20%, I don't know, but it's obvious that the level we are today is much lower than the average volume they want to decrease in terms of production. So just as -- we will resubmit, of course, request, I mean, to be in line with what we had last year, and we will see. Last year, just as a reference, we got EUR 10 million additional -- I mean, RKAB during the year. So, I don't see why we should not get at least this, this year, but we hope that it could be more. because we had RKAB of EUR 42 million last year. So, EUR 42 million, minus 20% to 30% is not EUR 12 million. Any other questions in the room? If there is no other -- there is one.
Unknown Analyst: [ Bernard Vatier ] from [indiscernible]. Can I ask a follow-up question on Weda Bay. Considering current permitting you got, should we assume that you will hardly receive any dividend from Weda Bay in your free cash flow forecast for FY '26? And second question, maybe on the asset disposal plan or monetizing of assets. So, we've mentioned various optionalities. What about Weda Bay? Can you give us more color about your partnership with Tsingshan because you bought back their share in Centenario. Could you consider selling them the stake in Weda Bay or given current circumstances, it's difficult?
Christel Bories: So, on the dividends, I will let Simon precise that, but we are not expecting no dividends because the consequence of having such a low RKAB, if it were staying at the same level, would be a significant increase in price. Already last year, when they started to cut the RKAB, you have seen that the premiums on nickel ore in Indonesia over the formula that is official in Indonesia have increased significantly. And at some stage, the premium were higher even than the price -- the formula price itself. So, we have a kind of -- of course, it does not offset everything, but we have kind of offsets coming from the prices. So, the impact on the cash and on the EBITDA is not as big as it could look like when you look at the absolute number. That being said, we will have a negative impact. So, on dividends, of course, it will depend on what we get at the end. And one thing that is for sure is that we don't expect to have dividends in the first half of the year. It will be more on the second half of the year once we have a better view of what will be the RKAB for the full year in Weda Bay. Simon, do you want to add something or Maria?
Unknown Executive: Yes. Just a small precision on the dividend amount. We cannot give the very exact number. But in any case, we expect a significant increase versus '25. First, December was a brilliant performance of Weda Bay team, meaning that the big cash is in the second half of 2026, which will convert in dividend distribution. The amount will be, of course, dependent on the RKAB situation. But as can be seen from our financial statements, the 2025 level was very low, and it will be compensated in '26. And as Christel mentioned, the very significant part of the compensation is coming from the high premiums, and it's already clear from what we can see now in the market.
Christel Bories: Just on Weda Bay, again, I will not answer directly your question. What we are seeing is that, we are reviewing different options on different assets. So, it's not the same setup and on the different assets. So, we -- I won't tell you more at this stage, but we look at different options, obviously. Are there some other questions?
Nicolas Delmas: Yes, please. Nicolas Delmas, Portzamparc. Just 2 questions on my side, maybe. One, could you quickly comment on the ongoing negotiations in Gabon regarding local ore transformation? And second one, could you also give some more information regarding asset impairments in Senegal?
Christel Bories: Maybe you want to comment on the second question. Asset impairment, Maria?
Unknown Executive: Yes, impairment in Senegal, as Simon presented before, most of the effect is due to the depressed market and the price assumptions used in the evaluation. It has been done in accordance with the IFRS rules and purely linked to the current projections for the long-term prices.
Unknown Executive: And to add a comment on the prices, we are seeing this market change structurally. There's a lot of HMC imports in China from new sources from Southern Africa notably. So, this is -- there's a lot of new supply that is coming on the market, and we see a high level of stock. This has already been reflected in the prices, which have decreased quite significantly. And we are seeing this as a structurally oversupplied market, which is the reason why we have taken this impairment. By the way, our competitors in mineral sands, Kenmare and Iluka took impairments as well this year for the same reasons.
Christel Bories: Maybe one word on Gabon. As you know, on the -- I mean, the request of Gabon to transform locally the ore. It was a highly political decision. So, I mean, it's -- we respect the decision of the state. We are -- of course, we have been discussing with them since then, and we continue the discussion. We have been partners, as you know, with the state of Gabon for now more than 20 years. They are -- they have a significant share in Comilog, our subsidiary in Gabon because they have close to 30% and 29% share in Gabon. And it's a significant part today of the revenue of the states in terms of tax, dividends, et cetera. So, we are discussing on the best way, I mean, to answer this political request without, I mean, impacting the economics neither of Eramet or Gabon overall as we are altogether, I mean, really relying on the success of the present model in Gabon. So, discussion is ongoing. And of course, it will take -- still take some time, and we will keep you, obviously, informed if there is any, I mean, further decisions on this side. So, yes, Jean-Luc Romain?
Jean-Luc Romain: Jean-Luc Romain, Sorry, I have another question regarding the grade of the ores you were able to sell from Weda Bay. You mentioned, Charles, that this was saprolites and other less rich ores. In your concession, do you have higher grade ores that you could sell in the future, which would improve the economics? Or should we expect, over the long term, a reduction of the grade of ores?
Charles Nouel: We do have many different deposits. It's a very large concession. And of course, we have deposits that are richer than others. A good mine plan is a mine plan where you start with the higher grades. So, over the life of a deposit, you always see if it's well managed, the grade going down. Now, what happened last year was a bit of this, but also, as I explained, a suboptimal mining plan due to the permits received late. So, what we're trying to do every year is to compensate the lower grade of geological grade by a better mining plan. That's what I can say. Every year is -- you have to fight, you have to improve your productivity, you have to improve also the dilution that you have on the mine and you have to improve your product mix between the different types of material that you mine, i.e., some -- the high-grade saprolite, low-grade saprolite, limonite. The #1 effect at Weda Bay is the split between saprolite and limonite. And last year, we had 42. The extra 10 was 100% limonite. Limonite is around 1.1 in grade, where saprolite is, say, around 1.5, 1.6. This is what we have in the deposit. So, the average is 2/3, 1/3. That's what the deposit gives you. And then, you have to work on this. When the RKAB goes down, we try to reduce the amount of limonite and increase the amount of saprolite that we sell. And when it's going down as low as 12 million, we try to do 100% high-grade saprolite, yet the geology is what it is. And to get to the high-grade saprolite, sometimes you have to move some limonite and sometimes it makes sense to sell this limonite. It's an economic decision every time. It's not geology or mining. It's about optimizing with the set of geology and mining that you have, how do you maximize your revenue -- sorry, your EBITDA.
Christel Bories: Other questions from the room? No. We will move to the...
Unknown Executive: Yes, we'll take question from the webcast. Many have already been answered, but I will take the additional ones. Can you give us an update on the situation of your CFO? And regarding the search of a new CEO, can you give also an update as well as the progress for this search?
Christel Bories: On the CEO, I mean, the -- as you know, the dismissal happened on the 1st of February. So, we are at the very beginning. So, it's -- we are starting. So, I cannot give you any specific details -- further details. We are just starting. The situation of the CFO, I think we -- it's clear. We have made a communique on that. We had an internal alert coming from several people within the organization, especially on the management of the finance department. And serious enough so that we have decided to suspend, I mean, its activities. So, for the time being, for the time for an investigation, an external investigation that will take place in the coming weeks. So, as these investigations are taking some time and it takes several weeks, we will take the time for a proper investigation and then see what really the reality is and make the appropriate decisions afterwards.
Unknown Executive: Coming back to the asset monetization, do you have already identified some candidate or some possible partner? How much amount do you expect from this monetization? And do you consider only minority stake? Or could you consider selling a majority stake or even a full asset?
Christel Bories: We are considering minority stakes. That being said, Weda Bay was mentioned, we are already in a minority position in Weda Bay. So, it can be a lower minority stake. So, it's -- but today, there has been no decision to exit -- to fully exit one of our key critical metals. It's a way of answering this question. Maybe on the size, Simon, you want to -- you will not give any number, as you can imagine. It's -- we said sizable, it means several hundred millions.
Unknown Executive: Coming back to the capital increase, why don't you organize an extraordinary general meeting to be able to have the authorization earlier and do the operation earlier? And is it already fully underwritten?
Christel Bories: I think I already answered the second question, second part of the question. On the first part, we have the Board that will vote on the resolution of the general assembly mid-March. So, it's coming very soon now. We need to work on the modalities of this capital increase. We will propose to the Board the resolution. Then the resolution will be proposed to the AGM that will take place in May. So, we thought the time it takes, I mean, to prepare also such an operation, we think that, I mean, having the resolution voted and so all the authorization ready in May is an appropriate calendar for the time being.
Unknown Executive: Regarding financing, can you explain why you draw all the RCF beginning of the year? What was the rationale behind this decision?
Christel Bories: Simon, do you want to answer this one?
Unknown Executive: Yes. So, indeed, the RCF was fully drawn end of January. This decision was made by the previous management. We are -- as you've seen, the amount of liquidity that we had at the end of the year is EUR 1.5 billion, which gives ample room to maneuver in the coming years, especially as the debt repayments in 2026 are quite manageable. And -- but on the same time, on the free cash flow, as you've seen with our guidance and our outlook, we have a consensus price that is improving. We are guiding on an increase in volumes. We are stopping -- the investments in lithium are done now, and we have free cash flow that will be generated from that operation. So, all of that is positive for the free cash flow generation of the group. All in all, we are evaluating -- we are also in a business that is quite volatile. So we have to have enough precaution. That being said, having the entirety of the RCF drawn is not necessary in our view. We will refine the analysis in the coming weeks, and we have already engaged discussion with banks in that regard.
Unknown Executive: A small final question regarding the dividend to make sure we understood correctly. When you mentioned the 2-year suspension, it's a dividend for 2025, which would have been paid in 2026 and the dividend for 2026?
Christel Bories: Yes, that's the case.
Unknown Executive: Okay. Thank you very much.
Christel Bories: So, if there is no other question, again, thank you very much for your attention, for your attendance today. Again, it has been a challenging year, a very challenging year for Eramet. But I think we are really taking the necessary and decisive actions to bring it back to a sustainable capital structure and to be ready with solid foundations for the future. So, thank you for your support. Thanks.